Operator: Good morning. Thank you for joining the Ferro Corporation Third Quarter and Full Year 2020 Earnings Conference Call. An archived replay of this teleconference will be available through the investor information section at ferro.com later today and will be available for approximately seven days. Today's call is being recorded Thursday, November, 5, 2020. And now I'd like to turn the call over to Mr. Kevin Cornelius Grant, Director, Investor Relations and Corporate Communications. Please go ahead.
Kevin Grant: Thank you, and good morning, everyone. Welcome to Ferro's Third Quarter 2020 Earnings Conference Call. This morning, we'll be reviewing Ferro's financial results for the third quarter ended September 30, 2020. I am pleased to be joined today by Peter Thomas, our Chairman, President and CEO and Ben Schlater, Group Vice President and Chief Financial Officer. The earnings release and conference call presentation deck are available in the Investors Section of our website. I'd like to remind everyone that some of the comments we are making today are forward-looking statements and are based on our view of conditions and circumstances as we see them today. However, those views may change as conditions and circumstances change. Please refer to the forward-looking statement disclosure in the earnings release and our earnings presentation. Also, today's call will contain various operating results on both a reported and adjusted basis. Descriptions of these non-GAAP financial measures and reconciliations are included in the earnings release and presentation deck. We encourage you to view that information in conjunction with today's discussion. It is now my pleasure to pass the call over to Peter.
Peter Thomas: Thanks, Kevin. Good morning, everyone. Thank you for joining us to discuss Ferro Corporation's Third Quarter 2020 Results. We were pleased with Ferro's third quarter results. We experienced a significant recovery in demand, driven by our leadership positions in markets that have been recovering nicely from the low point of macroeconomic conditions brought on by the COVID-19 pandemic. Last quarter, we said that we were seeing what we thought could be beginning of the V-shaped recovery in demand for Ferro products. That V-shape recovery became more pronounced in the third quarter, as demand for our high-margin products, critical to growing industries continued its upward trend. Although down as compared to the pre-pandemic third quarter of 2019, sales in the third quarter increased by 18.1% over the second quarter of 2020. Sales increased in almost all market categories. Margins in the third quarter were affected by product mix. However, we expect margins in the fourth quarter to rebound as we work through inventory and realize additional benefits from our North American optimization program. We continue to carefully manage expenses in the quarter, reducing SG&A even as sales volumes increased. Looking ahead, we are seeing signs that the positive momentum in demand for our products experienced in the third quarter will extend into the fourth quarter and early 2021. Our customers do not appear to be destocking in the fourth quarter to the degree they sometimes do. Order patterns for the fourth quarter and early in the New Year suggest that our customers are preparing for continued expansion of the recovery in their markets. Accordingly, we are optimistic for the fourth quarter and early 2021, even as we recognize that the strength of global macroeconomic conditions remains uneven and uncertain. Of course, the COVID pandemic continues to challenge economies around the world. And while we currently do not anticipate a significant impact from a second wave of COVID cases, we are mindful of the situation and positioning the company to address circumstances as they evolve. I should add here that our employees have been exemplary, dealing with the many challenges brought on by the COVID pandemic. It bears repeating, especially during these times that there is nothing more important than the health and safety of our employees. And we continue to utilize practices such as remote working and in-facility protocols to keep our people healthy and safe. So let's now step back for a minute from the immediacy of the last quarter and the next few months to consider our long-term strategy. As you will recall, the core of our focus is innovation and optimization. The strategic decisions we made to focus on high margin, innovative functional coatings and color solutions aligned with megatrends are proving beneficial in providing the foundation for additional growth. And our optimization initiatives are enabling us to more comfortably manage through macroeconomic downturns and further expand profitability during economic upswings. The megatrends that we discussed 3 years ago at our Investor Day are creating new product development opportunities in industries that we have targeted for our innovation programs. The innovation and quality of Ferro products, together with our technical expertise and Functional Coatings and Color Solutions enable us to play a critical role for our customers as their markets recover and demand for technically advanced products accelerates. Furthermore, many of the megatrend-related product development opportunities we are working on are in early stages, and we are right there alongside our customers, positioned to be the supplier of choice. There aren't many examples that illustrate the value we provide to our customers in connection with the products they developed to address the megatrends we identified, such as 5G, The Internet of Things, AVs, EVs and virtual communications, among others. Ferro is well positioned with existing products, techno expertise and continuing investment in R&D to support our customers. We mentioned some of these last quarter, namely digital printing with organic and inorganic inks on various substrates, pigments for customized functions such as infrared reflection, food contact packaging, anticorrosives and pastes in sensors used in electronics. As we look forward to 2021, we are encouraged by a number of market dynamics reflecting megatrends, especially in health care, automotive, electronics and decoration, all areas in which we have invested in technology platforms to support our customers. The breadth of our product portfolio and markets also provides us resilience to withstand weaknesses that might arise from time to time in one sector or another. The benefits of such diversity are starkly apparent in the current context when we compare Ferro's V-shape recovery to the ongoing challenges facing many businesses that have a more narrow focus and continue to be hit hard by the COVID pandemic. Along with the value of a diverse product portfolio and customer base, the COVID pandemic also has brought another interesting dynamic to light. COVID-related behavior changes are accelerating demand for certain products, especially those used by industry supporting mobility, such as people, one, individual smart and energy saving transportation and entertainment and personal technology as people continue to work from home and limit attendance at large events. In addition, demand for our products that go into appliances also is growing, as consumers seek new smart appliances. And construction also is picking up as people renovate their homes and move away from urban environments as a consequence of the pandemic. It is worth noting here that residential construction is picking up around the world. Construction is often a bellwether for changes more broadly in the macro economy. As global residential construction has strengthened, we are seeing demand increase in our Tile Coatings business, another indicator of recovery. Now these drivers of our business are complemented by the cost management and optimization programs that have increased the efficiency of our company. We are seeing the benefits from our North American optimization program, and we will have more opportunities for efficiency as we remove stranded cost following the sale of our Tile Coatings business. To a modest degree, there has been some impact on our optimization initiatives from factors related to COVID, such as the additional time needed to complete transfers of certain assets, and these factors also have affected inventory levels for Ferro and our customers, but we are working through these. Improving productivity and efficiency is a core element of our strategy and fundamental to the quality of our business, and we are addressing these issues. All this is to say that we are doing what we told you we would do and generating positive results. With that, I'm now going to turn the call over to Ben for his comments on the quarter and our outlook for the remainder of 2020. Then I will talk about progress in our Functional Coatings and Color Solutions segments and provide some final thoughts on our expectations for 2021. Ben?
Ben Schlater: Thank you, Peter, and good morning, everyone. I would like to echo Peter's comments on how pleased we are with the company's performance in the third quarter. Despite the continuing challenges of the COVID pandemic, the business has delivered substantial revenue growth from the second to the third quarter and improved adjusted gross profit margins year-to-date, all while managing to lower our SG&A. Moving on to discuss our consolidated financial results for the third quarter of 2020 from continuing operations, please note that the non-GAAP numbers I refer to are on an adjusted basis and growth rates mentioned are on a constant currency basis compared to the third quarter of 2019. As a reminder, I'll also review free cash flow used in operations. The financial highlights and results for the third quarter can be viewed on Slides 3, 4 and 5 in the presentation accompanying today's call, which you can find on ferro.com in the Investors Section. Moving to Slide 4. In the third quarter, net sales declined 2.1% to $241.9 million, adjusted gross profit declined 7.4% to $72.2 million, adjusted gross profit margin declined 172 basis points to 29.8%, adjusted SG&A expense was down approximately 1% at $45.1 million, adjusted EBITDA declined 14% to $36.9 million or 15.2% of net sales and adjusted EPS declined 29.6% to $0.19. Now moving on to Slide 5. Year-to-date through September 30, net sales declined 8.2% to $699 million, adjusted gross profit declined 7.2% to $219.8 million, adjusted gross profit margins improved 29 basis points to 31.4%, adjusted SG&A expense declined by 4.1% to $142 million, adjusted EBITDA declined 9.1% to $108.5 million, adjusted EBITDA margins were flat at 15.5% and adjusted EPS declined 13.8% to $0.56. These results reflect certain non-GAAP adjustments for the third quarter, primarily related to legal costs associated with previously divested businesses, corporate development and optimization activities. First, in cost of sales, we have adjustments of approximately $2 million, primarily due to costs related to optimization initiatives of $1.5 million and $500,000 related to other costs. In SG&A, we have onetime adjustments of $2.7 million in the quarter, $1.9 million of that consisting of cost for legal fees, professional fees and other expenses related to certain corporate development and optimization initiatives, including the North American manufacturing optimization and $800,000 related to divested businesses. Turning to restructuring and impairment. There was an adjustment of approximately $2.4 million, reflecting actions to achieve our ongoing optimization initiatives and acquisition synergies. And finally, in other expense, there was $1.2 million related to divestitures. I'll now move to SG&A. In the third quarter, adjusted SG&A expense declined approximately 1% to $45.1 million or 18.7% of net sales compared with $45.5 million or 18.4% of net sales in the prior year quarter on a constant currency basis. We've managed to reduce SG&A expenses even while growing our revenue substantially from the second to the third quarter and saw the resulting benefits from that reduced spending in our SG&A leverage for the quarter. This brings me to GAAP cash flow from operating activities. I will also discuss adjusted free cash flow from operations or what we define as cash flow available for items, including, but not limited to, strategic investments, debt service and shareholder returns. We calculate this adjusted free cash flow metric by combining the following lines from our statement of cash flows. GAAP cash flow from operations, capital expenditures and cash collected under securitization programs. This information can be found on Table 12 in our press release. In the third quarter, GAAP cash flow from operations was an outflow of $1.9 million. Then we subtract $6.7 million of capital expenditures and add cash received on other receivables of $34.7 million to arrive at $26.1 million of adjusted free cash flow in the third quarter, which reflects the earnings benefits we mentioned and changes in working capital for seasonality, but also for certain optimization initiatives. I would like to wrap up my comments by reintroducing guidance for 2020. As you may recall, during the first quarter 2020 earnings call, we withdrew our 2020 full year guidance, as the COVID pandemic began to affect economies around the world and challenge visibility. Although we recognize there remains a level of uncertainty in the macroeconomic landscape related to the COVID pandemic, we believe we've gained sufficient visibility and confidence with respect to certain metrics through the end of 2020 to re-establish guidance. For 2020, we now expect full year adjusted EPS to be $0.71 to $0.76, and EBITDA to be $141 million to $146 million for continuing operations. With that, I'll now turn the call back over to Peter to walk through each of the business units and add his final comments before we take questions. Peter?
Peter Thomas: Thanks, Ben. Now I'll take you through highlights of third quarter performance and our continuing operations reporting segment. As a reminder, earlier this year, we changed the name of our formal performance Colors and Glass segment to Functional Coatings, which includes the porcelain enamel business. We'll begin our discussion with the Functional Coatings segment. In the third quarter, Functional Coatings net sales on a constant currency basis were down 1% compared to the third quarter of 2019. However, on a sequential basis, net sales increased 17.1% from the second quarter of 2020. Adjusted gross margins declined to 27.8% in the third quarter from 31% over the prior year period on a constant currency basis. Adjusted gross profit declined 11.4% from $48.2 million to $42.9 million. Now the vast majority of the decline in sales volume and gross profit resulted from weaker demand in end markets that have been impacted significantly by the COVID pandemic. This includes end markets such as automotive and decoration, which serves the hospitality and travel industries and industrial commercial construction. As I mentioned during the second quarter call, we were beginning to see what we would call virus proof growth brought by the transition to virtual workplaces and schools. Examples are high-end electronics that support telecommunications and memory devices. In the quarter, we saw a continuation of these trends. Our Electronic Materials business was up approximately 11% in the quarter compared to the prior year quarter. Ferro's Electronic Materials technology is found not only in automotive sensors and high-end consumer electronics, but also in the electronics that serve communication systems, such as 5G, NAND memory applications and satellites. With people spending more time at home, demand also has increased for our products used in cooking appliance applications. In addition, our products are critical elements in devices that are used to monitor and assist people using health care apps and telemedicine. In the third quarter, automotive business sales were down high single digits relative to the prior year quarter, but snapped back swiftly relative to the second quarter this year, growing sequentially approximately 85%. This mainly was a result of factories in the Americas and Europe coming back online. In addition, we saw some share capture in this space in Latin America. Our decoration business was down approximately 10%, due to lower demand in hospitality and travel. This business segment, too, is off its lows, improving from the second quarter by approximately 17%. We have every expectation that the business will return as the hospitality industry eventually recovers from the pandemic. In the Industrial Materials business and porcelain enamel business, sales increased low single digits. The commercial construction landscape continues to look weak due to the pandemic. On the other hand, we are seeing strong volume demand in Asia from two of the largest solar manufacturers for our Glass Enamel, which provides higher efficiency in power generation in solar panels. As I mentioned last quarter, home appliance manufacturers largely depleted their inventories in the wake of the COVID outbreak. Our PE business grew in the third quarter by approximately 30% from the lows in the second quarter as customer demand surged. Because of the strong demand for replacement and remodeling occurring in the appliance market, as people spend more time at home, many of our customers now carry a very, very long backlog, we expect this to translate into continuing strong demand for Ferro products used in appliances. Now turning to our Color Solutions segment. In the third quarter, Color Solutions net sales on a constant currency basis were down 4.2% compared to the third quarter of 2019. However, on a sequential basis, net sales increased 19.9% from the second quarter of 2020. Adjusted gross margins increased 111 basis points to 33% in the third quarter from 31.9% over the prior year period on a constant currency basis. Adjusted gross profit declined approximately 1% from $29.2 million to $28.9 million. In the quarter, the majority of the decline compared to the prior year quarter was attributable to pigments used in automotive and industrial coatings. However, coming out of the second quarter of 2020, we saw strong demand for inks utilized in single-use and disposable packaging applications, another consequence of the COVID pandemic. Also, we are seeing strong demand for our surface technology products utilized in main applications. In addition, demand has been strong for surface technology products used in eyeglass polishes, as these businesses are now getting back to normal after long shutdowns of eyewear stores due to the pandemic. And finally, we are seeing strong demand for our pigments and coatings, as automotive manufacturers now are back in operation. So we had a strong third quarter, and we are confident that Ferro is positioned to continue the momentum in the fourth quarter and into the New Year. At this point, we also wanted to update you on the sale of our Tile business to Lone Star and its affiliate, Esmalglass. The transaction is subject to customary closing conditions, including regulatory approvals, Ferro and Lone Star have made substantial progress on the transaction and are working with the regulatory agencies to obtain the remaining approvals. While a definitive closing date cannot yet be determined, the parties are advancing with plans to be able to close the transaction by December 15, 2020, according to the purchase agreement terms, 15 days after satisfaction of the relative conditions or as the parties otherwise agree. Anticipating that additional time may be required, the parties have already expressed the intention to discuss an extension, if necessary. Again, from a longer-term perspective, our leadership positions in markets aligned with megatrends and our innovation initiatives focused on these markets will, we believe, continue to contribute to attractive growth going forward. When this growth is combined with our commitment to optimizing our business, we believe we have a winning formula for attractive, sustainable and profitable growth. Now I'll turn the call over to Kevin to open the call to our first question. Kevin?
Kevin Grant: Thanks, Peter. With that, operator, let's open up for the call for our first question.
Operator: [Operator Instructions] And we have a question from the line of Rosemarie Morbelli with G. Research. Please go ahead. Your line is open.
Rosemarie Morbelli: I was wondering if, Peter, you could give us a little more on the Tiles Coatings transaction. Why is it taking that long? And I do realize that it is regulators, but are they taking this long because this is usually how it happens, let's say, in Spain and Portugal, which is my best guess is where it is since it is where Esmalglass is based? Or do you think that they are going to be asking you or Esmalglass to divest some pieces of the business in order to approve it? Can you give us to the extent that you can a little more on what is actually going on as the way you see it?
Peter Thomas: I think you answered it yourself quite nicely when you first opened. Certainly, the regulatory process in Europe is the regulatory process in Europe, it's their timing, their schedule. Questions are asked. And Lone Star and Ferro are responding as necessary to answer questions, but I think it's more of those on the call and everyone who have done deals in Europe understand that the regulatory agencies are what they are. We have no control over them. Esmalglass has no control over them, but we continue to speak all the time. And so that's basically the answer. You're right. Just the timing situation.
Rosemarie Morbelli: And looking at the results for the quarter, you mentioned in the press release that results were better than you anticipated. Could you talk about the areas which actually performed better than your expectation?
Peter Thomas: I think you might remember in the first and second quarter calls, we did mention in our modeling that we were starting to see, as we look forward, that we would have some kind of a V-shaped recovery. And certainly, I think you're seeing more of that, not only with us, but a lot of other companies. But our modeling suggested back then that we would be kind of where we thought we would be on the last call, which I also made the comment that we would be materially better than the second quarter moving into the third quarter, which happened. So from that perspective, from our visibility with customer orders through our 8 MBUs, we could even see in the second quarter that sales were coming into the third and even fourth quarters at that time. The automotive business itself has picked up a bit faster than we anticipated, even though we're in daily contact with our top customers. The appliance market picked up a bit better than we thought. And our electronics business continues to do well for the reasons that we mentioned in our prepared remarks. We see different types of pigments for different types of applications. Doing a little bit better than we had thought, particularly in the third quarter, maybe the new VeoVa type range of products were a bit better based on the application. But I think we did discuss it in the prepared remarks how the ink for packaging and one way usage versus reusable type of applications. That segment did a bit better. Our surface technologies business did better. As I mentioned, around plastic polishing has picked up both in the consumer end and also in the industrial types of applications. So five out of the eight MBUs that we have kind of outperformed what we thought. And the good news is those not only those five MBUs are also showing good performance now in the fourth quarter and maybe moving into the first quarter of next year. And the only MBU that's lagging a bit, but actually getting a bit better, would be the decoration piece out of all eight of them. That's the one that's tied mostly to hospitality and travel. And although it is picking up, it picked up nicely from the second to the third quarter. It's still the laggard. But the other seven MBUs, as I mentioned, about the V-shaped recovery. And I think we mentioned last quarter that by the end of the year, we would see a run rate that would solidify the V-position. And I think we are definitely in that camp that that's going to occur. So hopefully that answers your questions.
Rosemarie Morbelli: It does. Just one last question, if I may. With your electronics business up double digit, do you see any inventory buildup at your customers that is going to impair future growth, so at least over the short term? Or their inventories were so depleted that it is actually refilling it as opposed to real consumer demand?
Peter Thomas: Actually, it's all the above. It depends on the customer, it depends on the application because in all of our market segments, as you know, we have hundreds and hundreds of applications. So let me answer it this way because I think we're seeing something that's very interesting. And I think it's important, maybe something that maybe a lot of our peers are seeing, but I haven't heard too much of what I'm going to say in a lot of the scripts. So let me lay it out there. What you're seeing is, one, the pandemic has caused an etch a sketch moment in everybody's supply chain. So it's sort of like we joke around here because of the pandemic, everyone is remodeling, cleaning out their closets and doing this and that, I suspect that all of that's going on in companies as well. So the pandemic is, from our perspective, through our lens and discussions with our customers, everyone is kind of cleaning house and their companies. They're doing what they can to be more efficient, draining out inventories and the like. And so now what you're seeing is there's a pretty strong demand on, I think, everybody in different degrees, but let's just talk for us for a moment. So the 4 or 5 MBUs that I mentioned that did better than we thought. Interestingly enough, when we speak with the customers, I think our customers enjoy the tightness of the supply and demand scenario, not that we're going to get into an economics review here. But you know as well as I do when demand and supply is tight, you know what happens, maybe the consumer doesn't benefit from it. But I think a lot of people like the idea that manage the supply chains tightly, they've been doing it for 5 or 6 months. They're carrying maybe the minimal amount of inventory that's needed. I don't think anyone is becoming very ambitious about building inventory on field of rings where they anticipate stronger growth. I think no one's really interested in having phantom sales skewing what's real in demand. And again, I believe that a lot of our customers, which are market leaders, by the way, is over 95% of our sales, are with market leaders, and we're very close to them. We have nice fences around those, the customers. And their concept is, this is like working okay. We like the way our plants are running, we like the tighter supply chain. It's helped with business roles. Customers are giving us orders with longer-lead times, which is helping and allows us to have more visibility going forward. Last quarter, I mentioned that we had orders in the third and fourth quarter and maybe a twitch in the first. And I can sit here today and say, we are seeing an order pattern, and we have visibility on our order books going into the first quarter. In some cases, we're touching the second quarter. And also, a lot of our customers are saying, not only do we like kind of to help manage this tightness in supply and demand, but it's also a period where we can reduce our SKUs. It's sort of like rather than having 15 different variants with this pandemic, why don't we try to focus on a narrower kind of an offering in a way that it would help us be more efficient up with inventory and the like. So I think, conceptually, this concept of keeping supply and demand as tight as possible is everyone's conservative way in view of managing through the pandemic, probably going through next year from our perspective.
Operator: Our next question is from Mike Sison with Wells Fargo.
Mike Sison: Nice quarter. Peter, when you think about '21 and maybe look at a bridge for next year, you have some cost savings. What type of leverage on growth do you think you'll get? And just -- and I know it might be early to give specific guidance, but are there sort of variables you could help us think about as we head into '21 for Ferro?
Peter Thomas: At this point, let's just tee up what we've said in the past and what we're saying already. We are feeling this V recovery, and hopefully, that puts us back on a normal cadence that we've had. I think we've been pretty specific around the optimization that we have, again, the act, cost savings. We continue to see those. We'll be working on our stranded cost, which we're already -- the plans are already developed, and we're already starting to march down that path. And again, we mentioned somewhere between $10 million to $12 million for those. Next year, we gave ranges, perhaps we see no real deviation from any of that. And the only big question is what happens with the revenue. And we're not in a position now to discuss that. But I think the starting point would be your basic, hey, let's have a V recovery and then try to look at some normalcy what RemainCo would normally do for a year as a starting point. And I think that's how we're starting to see it. And again, we do see some indications with our order book that we're seeing some orders in the first quarter. We see some touches in the second. Now remember why that is. Remember what I mentioned about RemainCo, in the past, unlike a lot of commodity companies where maybe 70% of the business is already booked out within the first 7 or 8 days of a month. A lot of our products are so specialized and they move in kilograms. That order patterns for our products could be anywhere between 8 and 16 weeks, depending on the MBU and the slice of the product mix within each MBU. So because of that and because of what I mentioned about the supply and demand, which we really, really like that concept that our customers are discussing around managing the demand and supply in a very efficient way, well, what is I would assume would help everybody in terms of their planning moving forward that you'll always be working on tight supply versus having a slight backlog instead of overbuilding inventories and hoping that the sales will come to fruition. And again, like I said, we believe that our customers are using that as their conservative approach of handling the pandemic by managing that tight supply chain. So what we would say is we feel really good where we sit today about what the prospects are barring, anything that's catastrophic or something that's really, really way out of anybody's control. We like the way our RemainCo business is shaping up. We like the business positioning with our 8 MBUs. We've worked very hard and you've heard us talk about this before. And I think it's worth noting since you've teed it up for us is the concept though why do we feel that comfortable? And again, a lot of that has to deal, Mike, with what you know from the very beginning when you sat with us, and I remember the June meeting of 2013 sitting in Cleveland when you brought all those investors in, and we specifically adopted our strategy over multiple phases would deliver a company containing 6 very important characteristics of a leading performer, whether that's portfolio coherence or leadership positions and chosen products or sectors, very attractive market structure. I've gotten into that with each of our MBUs. We have no more than two or three major competitors in anything that we do. We certainly have strong technology and innovation capabilities as evidence of the what we would define our common technology competencies are leading to a plethora of technology platforms with a broad range of programs that are emanating from them, leading to this are almost 20% vitality index, all of that is real, and we've delivered against it. And we now have a good growth dynamic. I think you're going to see, like we have discussed, we've moved from GDP to market growth, plus 1% to 2% because market growth for us is higher than GDP. And I think if you take a look out in what the pundits suggests for growth around the world next year and you take a look at what you might believe our weighted averages from a market growth perspective and you look at 1% to 2%, certainly, that's what we aspire to do. And it's very doable with our business. And I think the most important thing, strangely enough, even with our scale, is the concept of cycle resiliency. I think you're seeing that with this business, even -- and I think it keeps getting better as the quarters go by. So that's the data that I would give you to think about how we might look for 2021.
Mike Sison: And a quick follow-up. Your balance sheet is going to be in really good shape as you head into '21 with the Tiles sale. Any thoughts on what you plan to use or focus your balance sheet on next year?
Ben Schlater: Yes, look, as we get into next year, the focus will still be to maintain leverage at a reasonable low. However, as you've heard us talk about in the past, the pipeline on the M&A side continues to be full, and we're actively looking at opportunities there. And as we get into next year, I think you'll continue to see us look for bolt-ons from a technology perspective and to broaden the portfolio. There's a number of those out there across a number of different sizes as well. So I think what is exciting from our perspective is the broad range of potential opportunities we could look at. And as we get into next year, we'll definitely be looking at those.
Operator: Our next question is from David Begleiter with Deutsche Bank.
David Begleiter: Peter and Ben, what are the assumptions underlying the low end of your implied Q4 EBITDA guidance?
Ben Schlater: David, you broke up on the last part of that. Can you repeat the question, please?
David Begleiter: What are the assumptions underlying the low end of your implied Q4 EBITDA guidance?
Ben Schlater: So let's start with Q3. Q3 was much better than expected, right? So we had a very strong Q3. And the view for Q4 that Q4 will be much the same as Q3. So we expected originally some lift from Q3 to Q4. We've now -- the recovery that we anticipated is actually accelerated, meaning we saw more of a benefit in Q3 than anticipated. So we now sort of see a very similar quarter between Q3 and Q4. I would say the only difference will be some administrative things that we typically see at the end of the year around health care and that sort of thing that will come into SG&A. But beyond that, the quarters will look pretty similar. So with that as the baseline, what could move us to the top of the range versus what could move us to the bottom of the range? Look, if we see revenue increase a bit, we could get closer to the top of the range or even above the top of the range, and there's opportunities for that. As we look at, what could move us to the lower end of the range to the extent that we're able to sell-through more of some of this inventory that we have on hand, that will put a little bit more pressure on gross margins, and that will happen then all the way through earnings. So that depends on what the mix is in the fourth quarter. So that could push it a little bit lower as well. Look, I think as we sit here today, I think that there's a greater probability that it will be above the midpoint of the range, then below the midpoint of the range, but those are some of the things that can move it around.
David Begleiter: And just you mentioned volumes and sales. Do you expect your Q4 volumes to be even flat year-over-year? Or could they even be up year-over-year versus the prior year?
Ben Schlater: So look, again, I think we'll -- Q3, Q4, I think, will look similar. Is there an opportunity to -- for our sales levels to be greater than last year? I think there is. Is there an opportunity for it to be lower? Yes. But again, the way we're seeing things now, the markets are strong. So we had a very, very good September. October also looks good. So we're optimistic going into the fourth quarter.
Operator: Our next question is from John McNulty with BMO Capital Markets.
John McNulty: Maybe just a follow-up around the opportunities for capital deployment. Can you speak to the M&A pipeline in terms of where the bid asks are if there, I know earlier this year, they were pretty wide. Do you see them narrowing? And do you see opportunities that are realistically you may push across the finish line as we look to 2021, obviously, after the Tile Coatings sale?
Ben Schlater: So I think we saw on -- let's say, I think we saw multiples stabilize a bit, John, at the end of the summer. And I think as we get into the end of the year and into next year, I think a lot of it depends on what happens with COVID to the extent that there's an impact on earnings from COVID. I think you're going to see people sort of try to retrace what more of a run rate EBITDA will be. And so I think it's too early to tell how that looks in Q4 and even in Q1. But we did see some stability. I think the challenge with all that and the challenge will be going into next year, looking at some of these deals is, how quickly will the recovery happen post any sort of second wave.
John McNulty: And then I guess, speaking to the second wave, I mean, we've seen a decent flare-up in Europe. I guess, have you seen much of a demand response yet? Is that still on the come? Or is it just now maybe regions are a little bit more comfortable with how they manage through this? And so the demand response may not be as extreme. I guess, how would you characterize it?
Peter Thomas: Yes. What we see it now, John, is that we're not seeing it. We are -- we speak with the European teams almost daily and anticipating this type of question. And where we sit today and where our teams sit, everyone still feels comfortable regardless of what's happening in Europe with the second wave that things will be as they're forecasting. And as Ben mentioned, we feel really good about it. I think what's happened, again, much in line to the second part of my comment around our customers enjoying managing a very tight supply and demand position for obvious reasons. The second part of that is everyone in our manufacturing facilities around the world, I'm not going to take this lightly, but a kind of -- are kind of accepting that it is what it is and the protocols that we've put in place and a lot of our customers have are very strong and would allow for the type of demand that we see against their products and our products to continue through the fourth quarter and into the first, even with the second wave as you're seeing it. So I think it's sort of like everyone is adjust from a manufacturing perspective. I know we have, and our discussions with customers suggest that they have, and it's sort of like get used to it. We're not going to stop the world here. We're going to do everything we can to keep running because we're not going to fall back to where we were before. Nobody wants that. And the Europeans are pretty vocal about that. And it's like, we'll manage through it, and get it done, and meet the demand.
Kevin Grant: Operator, we have time for one last question.
Operator: We have a question from the line of Mike Harrison with Seaport Global Securities.
Mike Harrison: I was wondering, Peter, if you can talk a little bit about the margin performance. It looks like gross margin still showed some headwinds related to inventory drawdown. Are we at a point where we should see more normal fixed cost absorption moving forward? I know Q4 is typically seasonally a time where we could see you guys work down some inventories and see lower fixed cost absorption. And then maybe also touch on SG&A cost trends and whether there were still some temporary savings in that Q3 number?
Ben Schlater: Yes. Mike, it's Ben. So look, in the third quarter, we saw margins -- gross margins come down as anticipated. Frankly, we worked down more inventory in the third quarter than we had even planned, which is a good thing. So we saw a little bit more margin pressure. So we saw a little bit more margin pressure. That's going to continue into the fourth quarter. We said earlier, we think the fourth quarter looks a lot like the third quarter. That's one of the reasons why. I think that as we continue this product move from North America into Latin America that will continue into 2021. A lot of that is customer based and lead time based. So our sense was is that's going to continue into 2021. When we get through that, a lot of this will be based on customer mix as well as demand in 2021, and we can get into that more when we talk after the first of the year. But no, the short answer to your question is that it will certainly continue into fourth quarter and likely continue into 2021.
Mike Harrison: And the SG&A costs, how much of that was temporary?
Ben Schlater: So look, most of what we're seeing from an SG&A perspective in the third quarter is real. And meaning we would expect to, for the most part see that continue into the fourth quarter. As I mentioned earlier, we will have some headwinds from an SG&A perspective that will be relatively minor going from the third quarter to the fourth quarter as we typically would around things like health care, etcetera.
Mike Harrison: And then wanted to also ask, there's a footnote in your press release mentioning a fire at a facility in Colombia. Is that the Ultramarine's plant that you recently expanded? Can you talk about what's going on there?
Ben Schlater: Yes. It is that Ultramarine's plant, that situation happened earlier in the quarter, we dealt that moved on, the plant is back up and running.
Kevin Grant: We would like to thank everyone for joining us on the call today. We appreciate your interest in Ferro, and we look forward to discussing our results with you again next quarter. Enjoy the rest of your day.
Operator: That concludes the call for today. We thank you for your participation and ask that you please disconnect your lines.